Bernard Arnault : Good evening. Once again, I'm delighted to be with you today to announce record results in 2023 for the LVMH Group. Indeed, you no doubt seen the press release that just come out. You've seen the figures.  We delivered over €86 billion in revenue, up 9%. We achieved the profit from recurring operations of €22.8 billion, up 8%. Free cash flow is slightly negative because we made a number of investments, but cash flow from operations is, of course. Firstly, I need to tell you that the end of the year was rather good. The fourth quarter was delivered higher growth than the third. That's good news.  We know that there were some uncertainties in the market, but that went well. And yet in 2023, the economic and especially geopolitical context was rather uncertain with the various conflicts throughout the world with inflation, rising interest rates, I think to be coming a bit. We'll see what the situation is in 2024, but a year marked by those two major difficulties. Organic growth was sustained across all our activities, except in Wines & Spirits, and I'll tell you why later. Very good increase in Fashion & Leather Goods, in Wines & Spirits. It's mixed, Champagne is up and Cognac both because of the difficulty in the United States. And the minor restrictions in China the market was less buoyant. Good dynamic for all our Watch & Jewelry Maison, excellent results by perfumes. J’'adore is still leading the way worldwide. Sauvage is number one for the second or third consecutive most widely sold fragrance, both in the men's category and across all categories, and it's the first fragrance launched about 10 years ago. So that's very good performance. Selective Retailing. Remarkable performance of Sephora that has managed to exceed all our forecasts. In fact, this morning, there was some interesting article in the financial times are often interesting pieces in the FT. I don't know if we have anyone for the FT with us. But like Lesico, that's an excellent newspaper that I recommend to you that was actually saying that in LVMH.  In the soft luxury segment, we have the strongest brands in the world with Vuitton and Dior. And we have actually good competitors without mentioning two remarkable, Chanel and Hermes. And in hard luxury category that is Watches and especially Jewelry, we also have two outstanding brands at Tiffany and Bulgari. And in the competition, there's a very good group that is the Richemont Group announced its two great brands, Cartier and Van Cleef, so amongst the eight brands considered the best.  Well, we have half, it's pretty good. We'll see how things develop. If we can grow the scope or push some brands, other brands to join the top four. If we review rapidly the various business areas, a leading brand of the group, Louis Vuitton, with the many changes, new CEO. Well, not for us because we've been working for -- together for what, for some 20 years now and who joined Vuitton February last year.  And a new men's designer, you saw the photograph of the first fashion show Pharrell Williams, very successful of the first collection designed by Pharrell Williams. And the previous week, we had that great show at the Louis Vuitton Foundation, and that of Nicolas Ghesquière, who goes from strength to strength with remarkable success. Vuitton is a very special business, the leading global luxury brand, and it's really just about fashion as we say with Pietro, it's -- we've invested quite a lot -- in a bit of fashion injected back at '95 in order to boost the creativity. It worked well. It's still working. But the products are high-quality products. Essentially, they're really historical products that we're developing with him, the designers and others that are truly the call of his French historical brand, making many workshops work in France, given a lot of work where we recruit a great many craftsmen every year and is driving this brand to success. And with Michael -- when Michael Burke was in charge of Vuitton, we launched the watches, and we've just launched a new watch that I have here, which is the Tambour watch an evolution of the historical Tambour watch that was launched 20 years ago. And that is also encountering great success, and that's a new step in the going up range of the brand to what is done best in the terms of technology, craftsmanship in the world. Perfumes, Vuitton perfumes launched not so long ago and are delivering outstanding growth with something which is these perfumes only sold in the Vuitton network. The Vuitton network is the only in the world to that never has organized its sales. It's unique. You'll never be able to find a ton product available in the sales. Second brand I wanted tell you about here is Dior, a number of changes with the arrival of Delphine, who was at the side of Michael Burke for 10 years at Vuitton. And with Michael, that really does account for the success of Vuitton and worked previously for 15 years at Dior, has good experience of the matter. And now heads up with Mr. Sean Delapalme [ph]. He's with the Christian Dior brand that to my mind, is the finest odd culture brand in the world. Christian Dior remains the most widely known French name worldwide. It's an outstanding success of Maria Grazia's collections with the old couture fashion show this week, absolutely amazing. Old couture is a very small market, but it's developing because the most high-end products are those that are most widely sought after in the world. And so Cartier with Dior, well, we can't meet demand. We can't deliver to our customers. I mean the workshops are what they requires a huge amount of work to train the seamstresses to produce old couture dresses. It takes an inordinate amount of time, and we have to restrict the orders. Great success with high jewelry. We saw the Victoire de Castellan last year that met with wider claim in the year ended with fireworks display in the U.S., Great sales results in December with the Saks animation. I don't know if any of you were in the U.S. and New York for the opening of Saks and Dior. For the first time, I think they blocked Fifth Avenue. We did a spec tech. Can you imagine, blocking Fifth Avenue in New York? I mean here when we block the corner of Vuitton, it creates a whole Huha. We managed to do -- it was easier in New York, and it boosted Dior sales hugely across the U.S.  So I'm not going to dwell too long on all the brands because there are many that are successful, great success for Celine driven by Hedi Slimane that is now topping €2 billion in sales. Also for Loewe, Fendi is continuing, growing from strength to strength and Loro Piana sought after of luxury as it's known is posting very high growth rates, to my mind, overly high. We need to put the brakes on a bit because I'm often told that growth rates, why are you only delivering 8% to 9%? Well, I find that's pretty good. And I hope that we won't exceed that. I'd rather slow than push. And in this group, I'm fortunate in having people that I need to slow down. I mean people -- I put my -- spent my time slowing in detail for Delphine, Michael spent 10 years trying to put the brakes on it, but it's easy to develop this business. We have so many successful products or we have to produce more, but we have to resist that to no point, they must be a flawless quality, and you mustn't be in a hurry when you're achieving 8% or 9%, maximum 10%, that suits me fine. I don't know for the analysts, it's enough was never enough. We're never happy.  So that's really not a problem. But at least for the brand, for the desirability of the brand, our main asset really midterm, it's perfectly adequate. That's just one brand that we can't slow that, like Chris de Lapuente. Sephoria it's a bit difficult -- different because that's retailing.  The success achieved in the year was quite extraordinary. Watches & Jewelries just to say briefly that in Tiffany, it's going pretty well. There again, we're not really in too much of a hurry but since we acquired it, we arrived in that company back in 2021. Well, last year, operating income tripled as compared to the previous -- preceding our acquisition. It's not too bad. I'm not saying we're going to triple it in the next two years, but it's a pretty outstanding success there.  Again, we didn't want to go too fast. We incredibly inaugurated -- in '23, we did the New York flagship store. That's quite extraordinary. That is delivering quite surprising result as it's working well. We're rather limited, and that's good. You need more gems, precious stones, the workshops have to deliver.  Bulgari, it's an extraordinary brand. It's the two strongest brand brands in our jewelry portfolio. Bulgari, very tremendous success achieved in 2023. I'm not going to dwell on all the strong points of our two jewelry brands. You're familiar with them. And on the watches that were also achieved good successes. The watches headed up by Stephane Bianchi, who would soon be assuming other responsibilities, and we'll discuss that in due course. But these watches, TAG Heuer, historic brand has come a long way. We've doubled sales over the past four, five years.  We launched new products that are very good. It's not the same category as the Vuitton watches. The Vuitton watches are truly high-end watches with the brand, the know-how, the du Temps [ph] in Geneva and TAG Heuer sports gaming brands more accessible but are growing quite well. And in the same business group, we have Hublot that you all know, that's doing well. Fred, Zenith and Xiaomi. I hope I haven't forgotten anything. Now for 2024, what we can say for 2024 is that I am personally very confident. I expect to continue the growth that was achieved in 2023. The market went through a period and we'll see during the course of the year, the effect of the interest rates decline that will kick in. The positive impact in the U.S. of the coming election every time the election in the U.S. The market is more dynamic. So we expect the U.S. market to be more dynamic in '24 than it was in '23.  But if we also want to look at the potential problems. It's true that the geopolitical situation on which we have no impact with crises, both in Eastern Europe and in the Middle East. We're all hoping that they're not going to generate, I don't believe so. I'm pretty confident that to have achieve a solution in spite of the tragic situation in both cases. But we must expect for things to be out of control. In which case, the global economy would suffer. Those are the two points of concern that I see in 2024. Otherwise, I think the economy will be more favorable for our products. And of course, we have a whole set of new products of events.  For all our brands, we've got a great many things planned. And lastly, I'd like to say that in the group, we're ready to continue this measured expansion based on the quality and desirability of our brands and, of course, to continue our commitment that we've shown and we're very pleased that all our employees are hugely motivated on the environment, on inclusion of all the factors that when you joined LVMH. As I said, you're joining a family just not an anonymous group. And you see the two family members, two additional family members will be joining the Board.  I think that's good from the fact that it brings down the average age of the executives. That's very much in vogue to have younger executives even if I haven't planned might have a question. I haven't planned to -- I don't plan to leave either in the short or medium term. So rest assured, you might be sad. But here for a while yet. I see smiles so that it does not creating any panic on the part of my team. So this family that welcomes the main members of the group when one enters LVMH, one enters a family. Considered like a family. We do things. We approved the Board today an employee share ownership plan that was submitted to me, and we're going to launch that during the course of the year once it's been tabled at the AGM. And it will continue, hopefully, to attract the best, the best designers. We already have a good number, but we have to motivate. I know that Pietro, Delphine and Michael were working with them because the designers, I mean, that's really great. But we have to guide them. We mustn't -- few things. The difficulty is both to put their talent in the brand, but at the same time, to respect the history of the brand, it's legacy, it's historical past. Christian Dior, what was great in the Monday show by Maria Grazia, we saw the novelty, the extraordinary quality of what she's -- at the same time, we saw Mr. Dior. And that's great for -- Vuitton, it's a bit more difficult because he wasn't into fashion. So I have to be more imaginative.  We're getting there. With Pietro, we're spending quite a lot of time on those -- on that process. I don't know if I've forgotten it. Yes. For this, all the new entrants to the company viewed and considered as entrepreneurs. This period of enterprise of entrepreneurship, the motivation of executives is fundamental for success because the group is decentralized. We've got many companies, over 70 companies each are headed up by CEO, who, of course, mask discharge the full mission but is -- has autonomy, full autonomy. And that's why we do many -- well, how do you manage so many different companies? Well, they manage themselves, of course. There's interaction, but this independence is that every leader behaves as though he owned his brand, and that's good. Sometimes it's difficult because we want to intervene or step in sometimes we don't always agree, but that's good. That's as it should be. But with -- through contradiction, you can move forward.  Michael's smiling, but for 10 years, we sometimes had some pretty fraud discussions, but that's good. It does show that the company is headed on a day-to-day basis by leader who's in it from morning till night. So confidence for 2024, Bravo to all the employees who are here for the extraordinary results that you delivered in 2023. And now, Jean-Jacques Guiony, our Chief Financial Officer, whom you all know, will present these great results.
Jean-Jacques Guiony: Thank you. And for those of you who are on planet Mars over the past two months, this is a picture of the side of the Saks Fifth Avenue building in New York City, of which we are very proud. We're very proud of the figures as well. Few record figures, €86.2 billion in revenue. Last time it was €23 billion in profit from recurring operations. And the debt-to-equity ratio, the gearing is satisfactory. Starting with the revenue. We went from €79 million to €86 billion last year. Organically, we're talking about are 13% organic growth. There was a significant negative currency effect year-to-date. It's minus 4%, but all in all in euros, we're still up 9%. If you look at the geographical distribution of sales that tend to skip over this sometimes, but they are the things that we like to see, 25% in the U.S., 25% in Europe and Asia being the biggest region, 31%, including Continental China and the rest is Middle East and America.  Now we look still at the geographies looking at that. On a quarterly basis, region by region, that gives you a sort of general picture, starting with the United States. United States was -- had a challenging year. It ended up well enough better than it started. But Q2 and Q3 had little growth, but there was some acceleration in Q4, and that's not just because of Sephoria, even though Sephoria enjoyed significant growth. The other activities that possible to achieve that growth. Japan remained very high, even in Q4. Q4 was we've slowed down a bit, but you have to remember that, there were price increases in Japan to avoid to turn Japan into the Japanese duty-free window for a company. But it started off on what was a challenging basis. Asia, bit complicated again because the lockdown policies, especially in China, distorted the performance in Q2 and Q3. But if you look at the position over two years, there was double-digit growth in Asia, Middle East.  And Europe is back to growth levels that were more in line with what we had in the past. We had exceptional years, we are sort of landing as it were in Europe, but we're still looking at significant [indiscernible].  Turning to the various businesses. So overall organic growth was 13% apart in Wines & Spirits, and you may have questions about that. And that was a very specific situation because there were high levels of inventories of that in 2023. Other than that, all businesses enjoyed significant growth and in the competitive environment, especially starting with Fashion & Leather goods, which comes to about half the revenue half the sales of the group with the highest growth, except for selective retailing. We're looking at 14%. Perfumes & Cosmetics are again double digit at 11%, Watches & Jewelry, 7%. And as I said, Selective Retailing is way ahead of everyone else, not just in terms of profit, but in terms of organic growth for the year. And there were negative currency effects of minus 4%, but they were 2% negative in H1 and 6% negative on H2, especially Q3. And that, of course, dragged our sales performance down. A few words about this large orbit, difficult to read, but you look at sales or revenue by business line. So this highlights is the two halves of the year, especially on the left-hand side of that table. The first half had 17% growth, and that reflected also the fact that we were losing out the COVID crisis, which had lingering effects, especially in Asia. And then the second half of the year, which is a normalized performance and looking at about 10% growth. We had average organic growth over the last 35 years has been 9.1%. That's the historic trend. So we were close to historic trends indeed. And that is indeed what we -- is to achieve.  I want to repeat what Mr. Arnault said, if you have any questions, Philippe might say, there was some volatility, but we ended up more year better than we started in Wines & Spirits. Fashion & Leather Goods also there were ups and downs. I won’t go into the details of all the numbers, but you have to remember that by enlarge, the second half of the year was a year of the sort of the lending. Looking at distribution per business, but looking at profit from recurring operations, up 8% overall. Wines & Spirits were down 2%. That is unfortunate. Nonetheless, sales were significantly -- I mean, minus 10% in Europe, so minus 2% in profit. It means there were significant efforts were made to keep costs under control in the Wines & Spirits business and so we can be very pleased with that performance in what is after all a very challenging context, Fashion & Leather Goods, Perfumes & Cosmetics and Watch & Jewelry, about 7%, and that is in line with the revenue in euro. And so the profit margin remains perfectly satisfactory, especially Fashion & Leather goods where we have almost 40%. Selective Retailing, 76% in organic growth, so significant leverage there. The margins were up significantly. At Sephoria, we're looking at levels close to the peaks we enjoyed in 2017, 2018. So that is a very, very satisfactory performance. The next one, you see that the net profit, again, I won't walk through the full income statement. The gross margin 6.8%. I mean, that's significant. This is more than significant. In fact -- and well, this is why we can continue investing. Expenses overall, were up 10% over the year, but that varies from the big difference in H1, up 18% in H1 and only [indiscernible] in H2. So we were able to adjust expenses to revenue level, euro-denominated revenues. And in fact, profit margins were slightly up, whereas it was slightly down in H1. Now this is an issue that is very much your concerns. So that's why I was entering this. But we're still looking at 18% overall growth in the ordering expenses broadly.  We decided to move away with the Starboard that is the businesses on luxury boats. So we found it difficult to make a profit. We found it difficult to do business with operators. And so we decided to pull out of that business. I'll give you a few words about the financial performance and the income tax -- taxes till '26 of 2%, almost €6 billion in taxes paid just in this figure. Those not an issue, who believe that we don't pay any taxes. All in all, that is the last comment, net profit -- group share of net profit stands at about -- slightly above €15 billion and a net also 8% in line with that profit from recurring operations. So we said that this was about 8%. There was an unpleasant currency effect, about €700 million. So our performance last year was not helped by the currency factors. So the financial performance you have four items, net financial debt. In other words, interest expenses. That grew significantly, but you may have found -- you may have noticed that interest rates went up, gross net that at about €20 billion, half of it is in -- at fixed rates, so it's not sensitive to variations, but the other variable rates, especially short-term loans. And that, of course, we suffered the variation in the yield curve. So there was also the leases left that shouldn't really be the lease liabilities. It's is the invention of IFRS 16, it shouldn't be there, but it's still there for so a reasonable because of hedging is slightly up, they were slightly up. And the portfolio last year, the portfolio lost about €500 million in value, now it's up €260 million. In fact, -- it is -- even though these are potential capital gain we haven't sold anything. But all in all [Indiscernible].  If you look at the balance sheet, we have some high tangible assets because we did a number of acquisitions, more inventories, more equity. That is because there were fewer acquisitions -- significant acquisition is your cash flow. So you have a contrasting figure, self-financing capacity, I mean, it was up 10%. I mean, that's ongoing the level of a bit more taxes, there was more interest expense and the WCR change was due to inventory. Part of it is something that has to do with our business, but other was simply because over the second half of the year, we had inventory for sales that turned out to be less than expected and so we had more inventories than expected. And then the operating investments, €7.5 billion inside that, you have about €2.4 billion in real estate property. I'm not talking about stores. I'm talking about the buildings themselves. And this, of course, these are -- and if you pull out is related, there was a €4.5 billion last year and €5 billion this year. The variation is not as dramatic as it looks. So that is what is behind the [Indiscernible]. So you have dividends, minority interest shareholders.  And there was also some share buybacks, so €10.7 billion, 17% of equity. Debt to EBITDA, we're looking five 5 months of EBITDA. I think this is a satisfactory performance again.  And finally, dividends, we will propose portion €13 dividend to the AGM up 8%. So in line with the growth in profit and revenue. There was an interim dividend paid out last year, and the balance will be paid in April. Thank you.
Bernard Arnault: Thank you. Just a brief word to follow up on that, because I was informed that I admitted to mention Wines & Spirits. Wines & Spirits delivered a year, as Jean-Jacques said, marked both the success of wines and champagne and slight difficulty on the U.S. market, in particular, with Cognac. It's worth noting that Philippe has helped us great to buy Chateau Minot, one of the most iconic roses and between the Château Minuty and the Chateau d'Esclans were far and away, the leading producer of Rose Provance [ph]. It's excellent news. Another point I admitted is going to say what about the success of Berluti, Berluti has been managed this year for some 10 years. And the performance was excellent for Berluti. And lastly, on Perfumes & Cosmetics, Dior delivered a remarkable performance. And it's Stephane who's taken over the good division of wines of perfumes and cosmetics. And the brands aside from Dior working very well.  The rate -- if you look at the rate of increase of our perfumers and cosmetics brands were amongst those that are posting the highest growth in the market with all the major competitors. I won't cite here, we all know of, the perfumes and cosmetics market with, of course, Christian Dior in the lead going from success to success.  And now we're available to answer your questions. If you have any questions, of course. If you just kindly introduce yourself when you ask your question.
Q - Antoine Belge: Antoine Belge of BNP Paribas. I have a question on the brand Christian Dior. For the past two, three-- three or four years running revenue doubled year-on-year. Now it's only up 14%. But you're going to continue up this trend. You said something about slowing down the growth. Are there things -- a number of things you might wish to consolidate on the brand on Christian Dior? Jean-Jacques Guiony, second question said that there were contrasting performance between H1 and H2. There was more rigorous cost over control of the costs in Wines and Spirits, but also other businesses. There were also negative currency effects next year, what do you expect? And then regarding hard luxury, you said that brands -- well, you mentioned Richmond Cartier from Arpels [ph] had remarkable performances, organic growth in Watches & Jewelry was 3% over the past two quarters. What is it that Tiffany and Bulgari need to be able to compete with the likes of Richmond? And you said -- well, you showed some admiration for that group if Rupert was willing to forge a partnership are these brands that you might consider adding to your group.
Bernard Arnault : On your first question, the old couture growth is in the average of what was reported. But as I said earlier, growth is not -- must not be a goal. The goal is desirability. People must desire the brand, whether it's for dual or other brands in the Fashion & Leather division. It's good to generate growth. It's great what we did with Pietro these past few years with Dior. But we've reached a stage such that we no longer need to have such high growth. And between 8% and 10% is perfect. We do more at retail, too, but the goal isn't to generate growth at all costs. I repeat that here, I'm very happy to be able to slow down. Slow them down. Even some eager horses that I have to slow them. I mean that's good. It's rather -- it's more restful than having to push them.  And for the desirability, mustn't try and have as a goal, the top line, the revenue. I'll end with Richmond, we bet that we consider as an outstanding leader. And I don't, in the slightest wish to upset his strategy. I understand he wants to remain independent. I find that very good. If he wants support to maintain his independence, I'll be there.
Jean-Jacques Guiony : On profit margins, you mentioned -- you said that margins were volatile. Well, I mean, they were down 0.5% in H1, up 1.1% in H2, down 0.35%. I mean these are minute variations. I cannot question -- answer your question on profit margins in expectations in 2024. 2021, margins were up significantly, up 8 percentage points. And we said at the time, that we propose to remain there, and we were able to do that. We're 26.7% now with 26.5% today. So we were able to keep margins at that level. We certainly intend to do this.
Bernard Arnault : Okay. Any further questions?
Edouard Aubin : I'm Edouard Aubin from Morgan Stanley. Mr. Arnault, you seem confident on the beginning of this year. Can you say a few words about the latest trend? December, January, per country? Were these countries where demand was lower? Are things looking up in the U.S.? Can you tell us about the trends? That would be nice. Another point we referred to -- you said that a -- over the past 12 months, the brands at the top of the pyramid overperformed the rest. I mean, the top end brands are really overperforming. Do you think that trend will continue? Or do you believe that because luxury is sort of becoming -- is opening to -- sort of the middle class is becoming more democratized, that might bring the top brands closer to the other levels? And then on Wines & Spirits, there was a rather unusual situation. Demand was slightly down, but we also found that there were discounts on certain some of your brands. Can you give us details about -- I mean how you -- how did you balance that with keeping costs down?
Bernard Arnault : Well, on the trend, the upward trend, people going for the top end to the high end, that trend is there. But it doesn't mean that the other products are not good. But to bring -- to drive the brand up, it is, of course, the most outstanding products that will do that, that will do the driving. And that trend will continue, especially if these exceptional products are not just there to stay in the window, but if they really will be sold and purchased even if they're expensive. And if you look at our competitors, prices went up significantly over the past few years. Now when prices go up, when you have price increases, well, there should be a reason behind it, the technical and economic reality. It's not a matter of saying the come. Let's just hike up the price because demand is there. No. There must be a reason for that. The product must justify this in about watches. I'm not talking about the one I'm wearing, which is -- it's not cheap, but it's say, affordable. But some of the watches will become much more expensive at Vuitton, in particular. Some watches can be as high as expensive as €500,000 million. I mean it's only that fact Vuitton that workshop can build and no one else can do that. These are autonomation -- automated. I saw 1 such machine built by Vuitton and on the front, there was the picture of Albert Einstein sticking his tongue out. But if you wind up the clock, you will see that the Einstein on going up and down, while giving you the time of day. And that alone is worth €500,000. You make one of these and that time piece -- and that is the stuff dreams made of. This is, of course, what will drive the brand up. Now regarding the distribution between China, U.S. and whatnot. Well, a, we don't divulge these figures anyway, at least -- well, mid-December, the trends were pretty much the same. But we look at the customers in China over the past two years, the levels in Q4 were about the same as in Q2 and Q3. So for Fashion & Leather goods, we were looking at apples of 30% in December. I mean I love to make comments on months within quarters, but so December did well. As to profit margins in Wines & Spirits, I don't know if Philippe can take this, but I can say briefly, there are three items -- there was a positive currency effect. There were currency gains. And we know that this, of course, helps the profit margin. But what you said about discount, there were no discounts -- we can hold the price increases discounts is what Pernaut and Remi. But no, we decided to cancel the price increase, but there was no, not a discount, and therefore, there was no impact on the profit margin because it was a price increase that didn't occur, not the same as a discount.  But of course, we engage in cost control, especially marketing expenses, because demand was low in certain countries. But that there are areas where there's no need to go marketing to do any marketing if there's no demand. And inventory, if the retailers already have no need to spend any kind of money on marketing. And that is why profit margins went up, but there was a very good work done by the Wines & Spirits division.
Louise Singlehurst : Hi, good evening. It's Louise Singlehurst from Goldman Sachs, and I apologize in advance of speaking in English. If I could ask two questions, please. Firstly, Mr. Arnault, you were very kind last year to the size of the Vuitton brand in terms of revenues. I wonder if you could share with us your philosophy about the expansion into other categories and where you see that going long term. Obviously, you've talked about the Tambour watches, and we see bigger ambitions within jewelry, but are there other categories in addition that we might be able to consider for Vuitton longer term? And then secondly, my question for Jean-Jacques. As you look across the regions and the consumer clusters, where would you envisage the most sensitivity to spending? What can you tell us about the cluster? And I wondered if you could share with us any thoughts that you might see the Chinese consumers coming back to Europe this year. Thank you.
Bernard Arnault : You don't mind if I answer in French? It's late, so. Okay. So the other categories or other sectors that we might be interested in, I'll say two things. It's going to remain marginal. That's first -- and for the time being, it remains confidential. So it's a bit difficult for me to venture into that area. I'm really sorry to disappoint you on that.
Jean-Jacques Guiony : Possibly repeat your question on clusters. Sorry, I missed part of it.
Louise Singlehurst : Sorry, it was about what you're seeing today in terms of the clusters and the outlook with the most sensitivity across regions, but also the clusters nationality. Thank you.
Jean-Jacques Guiony : Well, the fundamental question then, I mean, it's easy enough to measure customer movement, but it's difficult to correlate customer trends in regions because up until last year, Chinese customers were domestic, but now they're traveling all over the world. And when you see when they tend to travel, they travel to Hong Kong and Macau, no surprises there. But regarding France in Q4, I myself was surprised by the numbers. We are looking at about 30% below what we used to do with the Chinese in 2019. So we're not back to where we were. I mean, Vuitton is a bit. We are close to where we were in 2019. It's not the same customers, fewer groups, much more independent travelers with a higher worth. So this is a trend we can adjust to. We'll see whether this is a lasting trend. We're not particularly concerned, neither pessimistic nor optimistic, but we don't see the big the last loads of Chinese customers coming in groups, but we're still doing significant business with the Chinese in Europe and in France.
Luca Solca : Luca Solca for Bernstein. Could you tell us more about the contributions of growth drivers? You mentioned the mix effect and price increases and a rather small part play by volumes, this continue -- I mean that was more in H1, less so in H2. So do you expect volumes to play a lower part in increased revenue because there's low demand on the middle class? And then coming back to what you said about Chinese customers traveling now. We noted projects. I mean where we're looking at plans to make bigger stores in China for both Vuitton and Dior. But there's the size of the store network in China. Is that in line with the growing number of Chinese customers or a higher number of Chinese customers in Europe than expected? And then regarding property investment, you give us a few figures. But could you tell us what's behind this? Is there any need to purchase property? Or what's the value of this? I mean, we see a lot of these property acquisitions in the media. Is there -- is that particularly profitable. And again, you didn't tell us about organic growth in Champagne in Q4.
Jean-Jacques Guiony : I guess could you pose -- this price/volume mix, the philosophy hasn't changed. There hasn't been any significant change in H2 and in Q4 the growth is based on mix. We're not trying to sell more volumes, but we want higher added value, some volume, of course, but we have to be make sure that this is not the detriment of quality. So we're not leaning on sort of unbridled growth in volumes. We don't want to demo the brand.  And price increases as little as possible. Sometimes, we have to engage in this because of monetary situations or exchange rates, but the main growth of the group and the main brand is driven by the mix the high-end products. Regarding the size of stores in China, a couple of comments. Compared to 2019, there are twice as many Chinese customers as 2019. The share -- the size of business from tourists is relatively is down in percentage, but in absolute numbers, it's the same. And so it means that the domestic purchase in China has grown significantly, so we have to meet that.
Bernard Arnault : Yeah. The sales figures per square meter, very high. We're at the maximum of what we can do to satisfy the customer not to have too many difficulties for so as to real estate locations, investment in real estate, something the group is already done ever since I've been in charge. And we're trying to secure and to by the best possible locations for our companies, AAA locations. I see that since we started that the locations that we have from the start. If you take the Fifth Avenue in New York, we have three of the best quarters 57 – three of the best corners there are has I mean I'm not going to run through the list. It's not just the best locations, but you pay them, B plus and buy them pay them at the AAA prices, because some of our peers haven't quite understood, but that's another problem, another matter. If there are no further questions. Thank you. And we'll see you next year.